Operator: Good morning. My name is Latonya and I would like to welcome everyone to the JetBlue Airways Second Quarter 2016 Earnings Conference Call. As a reminder, today's call is being recorded. At this time, all participants are in a listen-only mode. I would now like to turn the call over to JetBlue's Manager of Investor Relations, Driss Belmadani. Thank you. Please go ahead.
Driss Belmadani - Manager-Investor Relations, JetBlue Airways Corp.: Thanks, Latonya. Good morning, everyone, and thanks for joining us for our second quarter 2016 earnings call. Joining me here in New York to discuss our results are Robin Hayes, our President and CEO; Marty St. George, EVP-Commercial & Planning; and Mark Powers, our CFO. This morning's call includes forward-looking statements about future events. Actual results may differ materially from those expressed in the forward-looking statements due to many factors, and therefore, investors should not place undue reliance on these statements. For additional information concerning factors that could cause results to differ from the forward-looking statements, please refer to our press release, 10-Q and other reports filed with the SEC. Also, during the course of our call, we may discuss several non-GAAP financial measures. For a reconciliation of these non-GAAP measures to GAAP measures, please refer to the tables at the end of our earnings release, a copy of which is available on our website. And now, I'd like to turn over the call over to Robin Hayes, JetBlue's President and CEO.
Robin Hayes - President, Chief Executive Officer & Director: Thanks, Driss, and good morning, everyone, and thank you for joining us. Earlier today, we reported our results for the second quarter. In the quarter, net income was $180 million, or $0.53 per diluted share. These record results reflect the tireless efforts of our 19,000 crewmembers who consistently deliver the best customer experience in the industry. In recognition of our crewmembers' wonderful service, JetBlue was recently awarded its 12th consecutive Customer Satisfaction Award by J.D. Power. I believe no other airline, and few service companies have earned a similar honor. We are thrilled to announce our intention to further expand our successful Mint experience by amending our Airbus purchase agreement adding 30, A321 incremental aircraft, which is scheduled to deliver between 2017 and 2023. We anticipate the first 15, which are A321ceos will be configured in Mint. The remaining 15 A321neos can be configured in Mint or in high density. Starting in 2019, we will have the option to convert any A321neos to the Longer Range or LR version. This enhanced airplane type could will be a game changer for us and provide us the ability to start JetBlue flights to Europe from other East Coast focused cities, should we chose to do so. This incremental aircraft order is spread over seven years, and doesn't materially change our growth rate, which will generally remain in the high-single digits consistent with earlier discussions. Underlying this incremental order of Mint aircraft is the opportunity to do more of what JetBlue does that, namely, disrupt the high-cost market with a better product at an affordable price. In short, we believe it's a RASM builder. Mint was launched back in June 2014 to address JetBlue's revenue gap in select transcon markets. It has done that and more. Since 2014, RASM and Mint routes have improved by over 20%. Remarkably, Mint RASM performance continues to improve even in the face of the current challenging revenue environment and tough year-over-year comparisons. In the first half of the year, while overall unit revenue has contracted by several percentage points, RASM growth in the domestic Mint markets was solidly positive. This is well reflected by Mint cabin performance where RASM growth over the same time period was close to double digits. We believe Mint's RASM potential extends well beyond the initial New York to LA and San Francisco routes. In March, we launched daily Mint service between Boston and San Francisco. In the second quarter, Mint flies on this route outperformed all core flights on a RASM basis by over 20%. We plan to launch daily Mint service between Boston and Los Angeles in October. Based on the publicly available USDOT Data from second quarter 2014 to third quarter 2015, we estimate industry paid premium demand in New York to LA and San Francisco has increased over that time period by over 40% leading to our conclusion that Mint has significantly stimulated demand. Based on this stimulated premium demand success in New York, the Caribbean and now in Boston, we anticipate Mint will prosper in other long distance city pairs. Only 5% of domestic market over 1,800 miles has consistent regularly scheduled lie-flat seats today. In April, we announced Mint will expand to seven additional transcon routes from four existing cities: Fort Lauderdale, Las Vegas, Seattle, and San Diego. We've also announced we'll optimistically add more Mint service to the Caribbean over winter weekends. Our original interest in Virgin America was largely driven by the attractiveness of the West Coast, a very important part of the country. We believe our relevant East Cost network and Mint will help JetBlue become the carrier of choice in more transcon markets and build a profitable and targeted West Coast franchise. The timing is right to make this disruptive move. Recent industry M&A activity leaves customers with fewer choices, which as we've seen in the past leads to higher fares and compromise customer service. We expect our Mint growth to be RASM and margin accretive, driving long-term shareholder value creation as Mark will shortly explain in greater detail. Shifting to Cuba, we are incredibly excited over the upcoming launch of scheduled service to Cuba later this year. For the first time in 50 years, commercial flights will finally be allowed to operate between the United States of America and Cuba. We are pleased with the recent DOT decision to grant JetBlue up to four daily non-stop flights between the U.S. and Havana. We plan to operate daily service between Havana and three of our focused cities: Fort Lauderdale, Orlando and New York. We also plan to launch daily service to three additional cities in Cuba from our Fort Lauderdale gateway, Camagüey, Holguín and Santa Clara. Cuba is a unique growth opportunity with an estimated 75% of the American population of Cuban descent living in Florida. We are in a great position to be the carrier of choice given our strong presence in Florida, longstanding Cuban charter experience and our success in places like the Dominican Republic, which has similar customer demographics. In order to address DOT startup requirements and also to invest in our operational performance, we have short sourced two leased A321ceos for delivery later this year. In closing, we are very happy with our second quarter results. In particular, we are pleased with our improved financial performance including RASM build in transcon routes, accelerating Mint growth with incremental aircraft. This exciting move creates long-term shareholder value. We remain focused on executing all of our return accretive initiatives and are excited about JetBlue's organic growth future. I'll now turn the call over to Marty.
Martin J. St. George - Executive Vice President-Commercial & Planning: Thank you, Robin. Good morning, everybody, and thanks for joining us. Our network continues to grow while simultaneously producing margin expansion. In Boston, for example, our long-term growth strategy continues to pay off. Between 2010 and 2015, our average annual ASM growth rate was 9%, 2 points higher than our system average. Meanwhile, RASM in Boston has improved on average by 6%, also 2 points better than our system RASM average growth rate of 4%. In June, two of our five most profitable markets were Boston business markets. Looking ahead, we're very excited about the upcoming launch in October of our Boston-LaGuardia service with up to six daily flights. LaGuardia, an important business market, where demand has been depressed by high fares. In Fort Lauderdale trailing 12-month profit margins have expanded even while our capacity grew 8 points faster than system average. Moving forward, we plan to continue to grow our footprint in South Florida. Later this year, we expect to peak at over 100 daily flights in Lauderdale. Within a few years, we plan to reach about 140 daily flights. We are confident in our plan and our ability to compete with carriers in this important region where our brand and product resonate very well. We're the number one carrier in Fort Lauderdale with a strong presence in key origins and destinations, such as New York, Boston as well as multiple Caribbean and Latin markets. As Robin mentioned, we intend to expand Mint and to grow our presence on the West Coast. Our Long Beach focus city is sustainably profitable and fully integrated into our West Coast growth strategy. Long Beach offers unmatched customer experience, a beautiful new terminal and convenient flights to numerous destinations including the Bay Area. We continue to work hard to bring a new customs facility to the airport. In addition, we will reallocate capacity and progressively expand our presence in Long Beach later this year into January 2017, at which point we plan on operating up to nine additional daily flights. We will be making some new Long Beach network announcements very shortly. JetBlue's model continues to produce strong results in a variety of geographies. Looking beyond the near future, we are confident that our superior product and service will be successful in transatlantic markets, where we see similar characteristics that we see in transcon, limited competition and high fares. As Robin alluded, the A321LR could be the leap, allowing us to leverage our relevance in the East Coast focus cities and accelerate launching service to Europe. While we are not formally committing to this fleet type and we are not ready to announce anything today, we are excited about the optionality and the potential opportunity. With respect to revenue, in second quarter, top-line growth was 2%. Unit revenue decreased about 8% on capacity growth of about 11%. As a reminder, our revenue performance is affected by challenging comparisons due to our industry outperformance in 2015. Based on April 8 data, the year-over-two-year PRASM growth across our combined domestic and Latin networks outpaced the industry in the second quarter by 1 percentage point on 11% more ASM growth. We acknowledge the challenging yield environment but we are encouraged by trajectory within the quarter as is evidenced by monthly sequential improvement. April was the worst month of the second quarter and June the best. This improving trend is well reflected by the $3 domestic fare increase that JetBlue led in June. Similar to the last quarter, a number of factors contributed to soft RASM performance, including capacity increases in the market, tough comparisons, a school calendar in New York with a very late spring break, milder weather this past winter that affected beach destinations in April, and persistent softness in selected Latin markets such as Puerto Rico and Colombia. Our efforts to diversify our network and grow Boston continue to payoff. In the quarter, Boston short haul saw the highest RASM growth across the system, outpacing domestic average by several percentage points. Although, our San Juan focus city overall remains solidly profitable, we are seeing some weakness due to the general economic malaise. We're hopeful that economic reforms recently announced for the Commonwealth will help the economy begin to rebound. Recognizing the need to better balance supply with demand in the region and to drive unit revenue improvement, we have recently cut our post Labor Day 2016 capacity to Puerto Rico by at least 5%. We see these moves as short-term measures. We continue to be the number one carrier in Puerto Rico, and we believe that we'll return to capacity when conditions turn. Colombia continued to negatively impact our revenue performance in the quarter. The trends are promising, nevertheless, with significant improvement already noticeable as capacity cuts we actioned early in the year take effect. Given the softer revenue environment and rising fuel prices, we have progressively reassessed our system capacity plans post Labor Day, and we've cut total scheduled ASMs over that timeframe, by over 2%. This drove our decision earlier this year to reduce our full year capacity guidance by 0.5 percentage point to 1 percentage points with a midpoint reduction of 0.75 points. Cuts affected the more marginally accretive off-peak capacity such as Tuesday, Wednesday, Saturday flights or overnight flying in general. Capacity adjustments are important as the demanding fuel environment continue to evolve. In fact since 2008, JetBlue has closed 47 routes and reallocated capacity. Let me provide you with a quick update on some of our self-help initiatives, offsetting some of the underlying revenue downward pressure in the quarter. Other revenues grew at 35% this quarter, fueled by a fare options tailwind and a great start for the new Barclays co-branded credit card. Fare option continued to be a strong contributor and is on track to produce at least $200 million in operating income this year. During the quarter, we launched dynamic pricing in selected markets. While we can't share any related revenue numbers, we are very pleased with its initial performance. We clearly have the opportunity to expand its use and increase its revenue contribution as we collect more data on travel and customer behavior. In March, we launched the new domestic co-branded credit card in partnership with Barclaycard and MasterCard, and we're very happy with early performance. The conversion from the American Express portfolio was a smooth process and is now complete. Early performance metrics in the portfolio are exceeding both ours and Barclay's expectations. In addition, we have been very pleased with new customer acquisition on to the suite of JetBlue cards. While the initial ramp up has been a positive surprise, we continue to expect that annual run rate and incremental operating income from the new card of $60 million. Finally, I would like to echo Robin, and thank our crew members for their award winning service. None of these achievements would be possible without them. With that, I turn the call over to Mark to produce further details on our results.
Mark D. Powers - Chief Financial Officer: Thank you, Marty and Robin. Good morning, everyone. Thanks for joining us today. This morning we've reported second quarter operating income of $313 million. This represents year-over-year growth of 11%. Pre-tax income for the quarter was $289 million, operating margin was 19.1% and pre-tax margin was 17.6%, improving year-over-year by 1.6 percentage points and 2.1 percentage points, respectively. Total revenue grew 2% in the quarter on capacity growth of 11%. Yield decreased 10% while load factor was down 0.6 percentage points. With respect to costs, the second quarter was another period of remarkable cost control, excluding fuel and profit sharing, year-over-year unit costs decreased 1%. This tops our April guidance range of positive 1.5% to negative 0.5%. Better productivity drove a decrease in salaries, wages and benefits, which on a unit cost basis shrink year-on-year by 0.5%. Maintenance, materials and repairs, year-on-year unit expense growth was also negative. Moving forward, we continue to make progress, amongst other opportunities, to reduce our long-term engine maintenance expense. Turning to fuel. Fuel prices are rising but remain a positive year-on-year. We had no fuel hedges in place in the second quarter and thus no hedge losses or gains. Including taxes, our fuel price in the quarter was $1.43, down from last year's per gallon price of $2.13 or 33%. We increased our hedge position for the second half of 2016, specifically we're now hedged about 25% of our expected second half 2016 fuel consumption. Based on the forward curve as of July 2015, we expect our third quarter fuel price per gallon, including the impact of hedges and taxes to be approximately $1.52 per gallon. We've also modestly increased hedge positions covering 2017 with about 10% of consumption covered. More specific details regarding these hedge positions are in our Investor Update which was filed with the SEC and is made available on our Investor Relations section of our website prior to this call. Moving to the balance sheet, we ended the quarter with $1.5 billion in cash and short-term investments. During this second quarter, we made scheduled debt and capital lease payments of $36 million. Looking ahead, we expect to pay regularly scheduled debt payments in the remainder of 2016 of $367 million. This includes third quarter payments of $61 million. Our balance sheet has been considerably strengthened over the past two years, driving quarterly interest expense savings over that time period of over $10 million. At the close of the second quarter 2016, our adjusted debt to capitalization ratio was 41% compared to 64% at the end of the second quarter 2014. We expect the year-end ratio will be below 40%. Our balance sheet affords us the flexibility to consider ways to accelerate profitable growth including acquisitions over incremental aircrafts. With respect to capital, the CapEx, RASM and fleet, JetBlue ended the quarter with 219 aircraft, including 130 A320s, 60 E190s and 29 A321s. We purchased two A321 aircrafts in the second quarter with cash. For full year 2016, we expect to take delivery of 12 A321s, including three in the third quarter and five in the fourth quarter. This also includes the addition of two leased aircrafts to meet the DOT time requirements for Cuba service. As Robin mentioned, we have amended our purchase agreement with Airbus to add 30 incremental A321 aircraft over seven years. Under this agreement, Airbus is scheduled to deliver 15 incremental A321ceos between 2017 and 2019 with five Mint deliveries expected in 2017. It's likely most if not all of the incremental ceo deliveries in 2018 and 2019 will be in mid-configuration as well. JetBlue expects to also take delivery of 15 incremental A321neos between 2020 and 2023. The agreement provides flexibility to take these deliveries in Mint, or in our all core configuration. The amendment also provides JetBlue the opportunity to take any of its A321neo deliveries that is the incremental and are those in our current backlog in the long range or LR configuration starting in the second half of 2019. Given the strength of our cash balance and cash from operations, we anticipate we'll continue to pay cash for our remaining six non-leased A3 – 2016 deliveries from Airbus. For 2017 and 2018, we believe we will pay for deliveries with the combination of cash and debt with a goal of managing our adjusted debt-to-capital ratio between 30% and 40%. Finally, at the end of the quarter, over 30% of our fleet or 67 aircraft were unencumbered. More details, again, are also included on this matter in our Investor Update. In the third quarter 2016, we project total CapEx between $305 million and $315 million, of which approximately $250 million relates to aircraft and related deposits. For the full year 2016, we continue to expect total CapEx of approximately $820 million to $920 million. As to capital returns and with respect to our Mint expansion and as with every investment or capital allocation decision we make, we look at all options available with the goal of creating value for crewmembers, customers, and of course shareholders. We are confident of the proven success of Mint and its ability to improve RASM and margins will generate superior value versus other uses of capital, such as increased share repurchases beyond our current three-year program for paying dividends. As Robin highlighted, we expect our Mint expansion will not materially alter our overall rate of growth. We remain focused on generating long-term sustainable free cash flow. In the near term, we are focused on paying cash for aircraft, offsetting share dilution, addressing our upcoming EETC maturities later this year, and other opportunities similar to the aircraft lease buyouts we executed in 2015. We plan on providing you an update about our ability to start a capital return program at our Investor Day later this year. Turning to capacity. We expect capacity growth of 5.5% to 7.5% in the third quarter of 2016 and 8% to 9.5% for the full year. For the full year of 2017, incremental ASM growth from the additional aircraft is expected to add less than 1 percentage point. In fact, we currently expect next year's annual growth rate will be a couple percentages below the growth rate in 2016. Turning to the revenue outlook. July RASM is expected to decrease 2.5% to 3% year-over-year. This would be the third consecutive month of sequential RASM improvement after May and June. July performance is positively impacted by decelerating capacity growth by JetBlue and easing comparisons. Beyond July, we expect meaningful sequential unit revenue improvement between the second and third quarters. Looking at the monthly performance outlook. August capacity is expected to grow in line with July, while September's scheduled capacity is a higher than August growth by around 200 basis points. Bear in mind, the latter part of August is typically a shoulder period, while September with the return-to-school is a trough month. We expect July to be the best month, September the worst with August falling somewhere in between. Moving to costs. In the third quarter, we expect year-over-year CASM, ex-fuel and profit sharing to grow between 1% and 3%. As for the full year 2016, we expect CASM, ex-fuel, profit sharing to grow between 0% and 1.5%. Despite capacity cuts leading to lowering our initial full year capacity guidance, we continue to work aggressively to come in at the lower end of that cost range. And in closing, we're pleased with our second quarter results, excited about our growth opportunities. And with that, we are ready to take your questions.
Driss Belmadani - Manager-Investor Relations, JetBlue Airways Corp.: Thanks, everyone. Latonya, we're now ready for the question-and-answer session with the analyst. Please go ahead with the instructions.
Operator: Thank you. We will now begin the question-and-answer session for the investors and analysts. And your first question comes from the line of Andrew Didora of Bank of America Merrill Lynch.
Andrew George Didora - Bank of America Merrill Lynch: Hi. Good morning everyone and thank you for taking the questions. Robin, we certainly appreciate the color you gave around Mint, the success over the past few years. I certainly understand the growth opportunity here. But, I guess, my question and you sort of alluded to it in your prepared remarks is around the decisions to take more A321s and whether that decision was due to losing out to Alaska on VA and the need to compete more effectively on the West Coast, or it was solely a function of kind of the success with Mint so far.
Robin Hayes - President, Chief Executive Officer & Director: No, thanks, Andrew. And that was a long and distant memory for me. So, you've brought all back with the first question but thank you. I think, when we started Mint in June 2014, there were many skeptics and there were many doubters, including many in our company because it was a very big change from where we were, but we felt that there was a very significant opportunity to come in and disrupt the transcon market because at the time, it was suffering from very high fares and a mixed product bag, and it has been an overwhelming success even when we did the original best case, worst case kind of timing case, we've exceeded all of those. And so, we believe that the opportunity is much more significant because we have proven that we have been able to expand the premium market as well. So, we always wanted to build a significant transcon presence. The West Coast is important to us. That's why we did express interest in acquiring Virgin America, but we want to be focused on the parts of the West Coast that we think are going to be profitable and where we can be successful. And we think, transcon for us with our product advantage, by the way which is the hard product but also the product that our crew members give – the number one complimented feature of Mint is the service that our crewmembers give, and the price point, all of those things come together to, I think, allow us to leverage on the transcon, both our very significant East Coast strength, but also our growing presence in markets like San Francisco and LAX. And with the potential merger of Virgin America and Alaska, we have a lot of corporate customers and customers coming to us from those two cities, saying how can JetBlue expand the Mint offering. So we think, all of these things come together. It's been part of our plan really going back several years and it's – we think a very significant opportunity for us. And we know ordering airplanes in the current environment is going to be something that's going to be challenged. But we thought very hard about this and we're very confident of its success just as we were with Boston, Fort Lauderdale and Mint originally.
Andrew George Didora - Bank of America Merrill Lynch: Great, that's helpful. And my second question for Marty. I know there are some holidays moving around a bit in 3Q with all the 4th of July travel now in the third quarter, I think the Jewish holidays are shifting out of September into October, what kind of impact can we expect from these shifts on a year-on-year basis, if it's meaningful at all? Thanks.
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Andrew, thanks for the question. I think if you look at the guidance we gave in the prepared remarks, I think what's interesting is that, what we're seeing with respect to the shape of our third quarter seems to be a little bit different than what we're seeing in competitors' results. I think a reason for that is we do have more of a leisure focus than some of our competitors do. And the second thing is, because of our ASM comps, and I believe that those two issues are going to overwhelm issues around holiday shifts. But also for September bookings it's very early to tell right now. We just don't have that much on the books right now. We don't expect a dramatic impact, September versus October versus holidays, but we'll see as the time gets closer.
Andrew George Didora - Bank of America Merrill Lynch: Okay. Thank you very much.
Operator: Thank you. Your next question comes from the line of Jamie Baker with JPMorgan.
Jamie N. Baker - JPMorgan Securities LLC: Hey, good morning. Probably for Rob and Mark, and it does bring up the subject of Virgin America again. I'm wondering, last spring, how did you evaluate the potential returns as you contemplated that transaction relative to how you more recently evaluated your, let's call it, the Go It Alone Transcon strategy that culminated in today's order? I know you can't affect the merger outcome at this point, but can you at least say if the returns associated with today's plan are higher or lower than what you envisioned last spring?
Mark D. Powers - Chief Financial Officer: Hi, Jamie...
Jamie N. Baker - JPMorgan Securities LLC: And if they're better, what the primary drivers are?
Mark D. Powers - Chief Financial Officer: Yeah. So, Jamie, it's a great question. It was an interesting exercise, needless to say, and it was a fairly unique type of merger opportunity because of, frankly, the strength and symmetry of Virgin and the JetBlue culture. So, that certainly enhanced the execution of that potential transaction. Nevertheless, the rigor around that transaction was clearly looking at revenue synergies and a whole complement of the predictable cost synergies. We are still inclined – our preference has always been for organic growth. It's more controllable. You can manage the risks better. And so, when we were looking at the expansion through this Mint order largely focused on the West Coast, the numbers are actually quite similar to the numbers that we were producing with perhaps a lot less execution risk than the acquisition of another airline. So – and again, it's – it really comes down to this transformative and disruptive Mint product that really does reduce a lot of the risk around it.
Jamie N. Baker - JPMorgan Securities LLC: Okay. Terrific. I appreciate the clarity, I'll move on. Take care.
Operator: Thank you. Your next question comes from the line of Helane Becker with Cowen and Company.
Helane Becker - Cowen & Co. LLC: Thanks, operator. Hi, everybody. Thank you so much for taking the time. Two questions really. One is can you give us an update on seat densification because I have it in my notes that that was supposed to start this quarter. And I'm just kind of wondering what – because I thought it was all the A321s with the new seats?
Robin Hayes - President, Chief Executive Officer & Director: Sure, Helane. Good morning. It's Robin, I'm going to jump on that one, and then I'm going to pass the baton over to Marty. I actually was over in Hamburg last week with a number of our leaders and also 10 of our in-flight crewmembers who have worked with us on this project for the last 12 months to 18 months. And we did take, indeed take delivery of our first 200-seat A321. It looks fantastic. And that's now currently being fitted out for LiveTV and Wi-Fi and will be entering the system in a few weeks. The A321s are still on track to be configured this year. The ones that we have already, that are high density, they are moving from 190 seats to 200 seats, and the A320 reconfiguration will begin in early 2017. And I will just throw it back over to Marty for a little bit more color on that.
Martin J. St. George - Executive Vice President-Commercial & Planning: Thank you, Robin, and thanks, Helane. Good morning. Yeah. We're fully on track with the A320 densification as well, and we have no updates to the guidance we gave on the timing or the economic benefit from that. We're very excited about it. Customer satisfaction with the new seating product, new LiveTV product, in-seat power or Wi-Fi, et cetera has been outstanding. So, we're really looking forward to having this flow across the entire system.
Helane Becker - Cowen & Co. LLC: Okay. Great. Thank you very much. I appreciate that because that's what I had in my notes. I just wanted to make sure I was on track. And then the other question completely unrelated is at one point you guys had Long Beach as a focus city and there's been a lot of changes in Long Beach with, I guess, as the aircraft have gotten quieter, there's been I guess more slots available because I think it's a slot-controlled airport. But it's right near LAX and you obviously have a focus on LAX from New York, especially with the Mint rather than Long Beach. So how are you thinking about Long Beach in the context of another focus city on the West Coast store? Is it just a market that you're not going to focus on, no pun intended, going forward? How should we think about that in the context of West Coast and what you're doing with the other markets? Thanks.
Robin Hayes - President, Chief Executive Officer & Director: Thanks, Helane, for the question. And I think what we've learned over the years about Long Beach and LAX, both play very complementary roles. So, LAX has definitely been the focus of our transcon expansion and Mint has been performing very well. But Long Beach is a wonderful airport and it was and remains a focus city for JetBlue. We have been working very hard to get approval from the city for them to want to apply for a international customs and inspection facility, so we can build our international footprint from Long Beach. The airport did an amazing job with the redevelopment of the terminal. It really is a beautiful facility and we are very excited to continue to grow that as well. So, Long Beach and LAX, they're very complementary. Anyone who lives over that part of the world knows. You can spend as long in the car, getting to an airport as you can flying anywhere. And so, we haven't found really any cannibalization by being in these two airports.
Helane Becker - Cowen & Co. LLC: Okay. Great. Thank you for your help. Have a nice day.
Operator: Thank you. Your next question comes from the line of Hunter Keay with Wolfe Research.
Hunter K. Keay - Wolfe Research LLC: Good morning. Thank you. Appreciate it. So I'm curious why you guys are actually announcing plans to think about adding Transatlantic. Are you looking for reactions based on what your investors, maybe competitors do? Why not just wait until it's ready to go and announce it when it's ready to go? What's the rationale for announcing that you are considering it so far ahead of time.
Robin Hayes - President, Chief Executive Officer & Director: Hi, Hunter. Good morning. How are you? Let me take that. As part of the Airbus purchase agreement, we did negotiate the option to upgrade to the Long Range. So, all we're really announcing today is the flexibility to do that but by disclosing that we have that option, which is something that we are obligated and want to do, it does beg the next question, okay, what are you going to do with it because it's not really too much of a stretch in imagination to figure out where it would go. And we just want to be open and transparent about that because that's who we are and say it's something that we're considering. We haven't made a decision. We don't need to make a decision to the end of 2017, and we'll take the decision based on what's the right business and economic decision at the time. It maybe that we don't exercise any option rights to upgrade to the LR at all, and fly these airplanes in our current network. So, I think what triggered it, Hunter, was nothing cute or clever, just we – obligation to disclose the change in the purchase agreement and wanting to explain a little bit – behind it.
Hunter K. Keay - Wolfe Research LLC: Okay. Yeah, that makes sense. And then sort of to that, can you talk about the things you're going to look at when you think about – when you actually do this analysis, and then sort of to that as well, are you going to be more inclined to add service on underserved routes? In an all else equal environment, would you be more inclined to add service in markets that are underserved or would you try to look for markets that are potential opportunities to gain share because you think they're overpriced? Thanks.
Robin Hayes - President, Chief Executive Officer & Director: Hi, Hunter. You've already heard enough from me, so I am going to pass it to my friend Marty, and if he misses any bits out, I may comeback.
Hunter K. Keay - Wolfe Research LLC: All right.
Martin J. St. George - Executive Vice President-Commercial & Planning: Well, no pressure. Hi, Hunter. Good morning. Thanks for the question.
Hunter K. Keay - Wolfe Research LLC: Good morning.
Martin J. St. George - Executive Vice President-Commercial & Planning: With respect to as far as how we do the analysis, we have – again we've – this company, we've grown from two airplanes or three airplanes in 2000 up to over 200 today, and the analysis has not changed dramatically from that time period. With respect to whether we have a bias towards underserved markets, I think we are very lucky in that. As a company, we've built six very strong focus cities and they're all unique in their own ways. But one thing that we saw in every one of them was an opportunity of markets that were relatively underserved. And in many of the markets it had high prices. So, our view – I'll take only as an example the Transatlantic, because you brought it up. I view the Transatlantic as it may be one of our growth opportunities because that is a market, although there are a lot of flags flying across the Atlantic, 87% of the capacity across the Atlantic is under one of the three alliances and under various level of antitrust immunity. So what that's created is a very high fare environment. So when we see market, I'll take a great example in Boston, we see markets across the Atlantic that are important business markets that have very high fares, we think that's a great opportunity for us. Go back to one of the things that was mentioned in the prepared remarks about how much we have – how much we believe the premium market has been stimulated in New York-LA and New York-San Francisco that is the JetBlue playbook. We like to go into markets with high fares and stimulate them with lower prices because that gives a great opportunity for us. So, I don't expect anything dramatically different as far as the revenue side. Certainly with respect to again the Transatlantic, which you asked about, there are lots of other factors that have to be involved. But I think, the easy opportunities I think are widespread. And I think it's important to say, we're not making any announcement about Transatlantic service. I think back to Robin's point, this disclosure was basically about a change in our contract. But it would be – I'd be misleading you if I didn't say that the markets – there's a level of attraction over there, with the high pricing.
Robin Hayes - President, Chief Executive Officer & Director: Yeah, Hunt, if I may...
Hunter K. Keay - Wolfe Research LLC: Sure
Robin Hayes - President, Chief Executive Officer & Director: I just want to make that – I think chasing market share is in itself a fool's errand. I think what we're looking for is to successfully convince our investors longer-term that sort of a high-single digit growth rate is the right thing for our company. Not only do we have to demonstrate earnings growth but we also have to make sure over a period of time that we can sustain positive unit revenue growth as well because normally, if you don't do that then a high growth rate leads to negative RASM and I think that's some of the challenges that the industry is seeing at the moment. So, when we look for opportunities, we're looking for opportunities that allow us to drive that top line unit revenue growth even at elevated ASMs compared to GDP, whilst also maintaining sort of tight cost control, which I think we are getting better and better at. And, I think those things come together and paint both a very compelling short term and also long term results orientated story. So that's how we think about those opportunities.
Hunter K. Keay - Wolfe Research LLC: Okay. Thanks. I appreciate it.
Operator: Thank you. Your next question comes from the line of Michael Linenberg with Deutsche Bank.
Richa Talwar - Deutsche Bank Securities, Inc.: Hey, everyone, it's actually Richa Talwar in for Mike. Good morning. So first, regarding your move in June to cut full year 2016 capacity growth by 75 basis points at the midpoint. I was hoping you could discuss where in your network you're seeing potentially too much supply and needed to trim? And was it just the Puerto Rico cuts that you discussed or was it somewhere else in your network that you're seeing too much capacity?
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Richa. It's Marty. Thanks for the question. The process we went through when we did make the cuts the second half capacity is very similar to the process we're confidently going through and trying to make sure we create the optimal capacity level. And, I think if you look at it, there have been cuts in various types of the network. I wouldn't call out anything specifically. We certainly did do – the one thing we didn't call out in the prepared remarks were the cuts we made to Puerto Rico, which we certainly view as temporary cuts. We hope they're temporary cuts. But there have been cuts in other markets too, very much a focus on off-peak times when the demand might be quite as strong. But the process we go through to continually try to deploy the assets to maximize returns has been very consistent all along.
Richa Talwar - Deutsche Bank Securities, Inc.: Okay. Great. And then, Marty another one for you. You suggested that you're seeing strength in leisure travel, and can you confirm whether that was an accurate interpretation of what you said regarding the leisure market and also give us a sense of corporate travel trends across your network?
Martin J. St. George - Executive Vice President-Commercial & Planning: Okay. So, thank you with the second question. Leisure, as far as leisure strength, I think the best way to describe it is more from a top down level. If you look at our results and look at our RASMs results, we're – if you look at our results versus the rest of the industry, they do diverge a little bit. Certainly, if you look at the sequential improvements that we're seeing. It also is happening at a time when we are still operating a franchise that is predominantly leisure focus. So, I'm not sure I want to draw the causality between those two, but it's certainly factual that we are seeing some pretty good sequential growth there during a peak leisure period. With respect to the corporate demand, I think the best way to describe it is looking at the data that we see, overall corporate revenue was down for the industry, not just for JetBlue. Our corporate revenue is down good bit less than we're seeing industry corporate revenue. So, we're increasing our share of corporate revenue. But obviously it's a time – where based on what we're seeing for sort of macro revenue trend, there is an overall decline. But I think we're very happy with our corporate performance right now.
Richa Talwar - Deutsche Bank Securities, Inc.: Okay. Thank you.
Operator: Thank you. Your next question comes from the line of Rajeev Lalwani with Morgan Stanley.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Hi. Thanks for the time. I wanted to come back to some of the prepared remarks you made. Can you just reconcile how you're taking up CapEx but taking down growth as we look into next year. Obviously, I don't know the starting points so maybe that's an explanation, but some color would be great?
Mark D. Powers - Chief Financial Officer: Yeah. By the way, we can actually call you offline to give you a little bit more of the detail of that. But – so, repeat the question again to get the details on CapEx?
Rajeev Lalwani - Morgan Stanley & Co. LLC: Yeah. I guess, I'm just trying to understand your – it seems like you're taking up CapEx with the aircraft order, but then you're talking about pulling in capacity growth as you go into next year. So, I'm just trying to reconcile why those two you are kind of going in different direction?
Mark D. Powers - Chief Financial Officer: Yeah. I think the CapEx is more of a longer-term context. The capacity growth that we're talking about, I'm actually not quite sure I understand the question.
Robin Hayes - President, Chief Executive Officer & Director: Let me have a handle of it. I think the point Mark made was that the 2017 capacity we're expecting to be less than 2016 and yet, we're taking more airplanes, so it seems counterintuitive.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Right.
Robin Hayes - President, Chief Executive Officer & Director: A couple of points. The first one is the additional airplanes that we've announced for 2017 will all come in the backend of next year so we won't actually see that much of them flying. And also, back to a question that Helane asked earlier about the Mod program, we do have A320s in a fairly significant Mod program next year to do the changes from a150 seats to 162 seats, and also enhancing the customer experience. And so, that will also add as a downward drag on capacity. And so, those things together mean that the 2017 ASM level will actually be below what we've seen this year.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Great. Thanks Robin. That's exactly what I was looking for. And then the other question, as it relates to setting a – I believe you said a debt to capital target but then you're also taking up your CapEx. So, just kind of pulling that altogether, does that imply that capital returns aren't going to be a material part of the JetBlue story over the next few years?
Mark D. Powers - Chief Financial Officer: I think we'll have – as I indicated, we'll have a lot more detail on that at our Investor Day in November. The sort of – this maybe I think the first time we've actually announced our debt to capital target range and I think we'll probably talk a little bit more around the math behind that in November. But that – we think that range is appropriate. It really does provide us the flexibility fund future opportunities and manage that, our cost of capital, to set us up for a more meaningful capital return program down the road I think more in November.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Okay. Thank you.
Operator: Thank you. Your next question comes from the line of Savi Syth with Raymond James.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey, good morning. I'm just wondering just going back to your unit revenue color, I appreciate the information there. But could you walk me through the kind of unit revenue pressures that you saw in the second quarter, be it capacity growth, tougher comps, kind of weakness in your LatAm region. And maybe just to how those items progress in kind of the third quarter and then into the remainder of the year. I'm just trying to figure out like what's helping the moderation in unit revenue growth? Thank you.
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Savi. It's Marty. Thanks for the question. I think there are lot of issues going on with respect to our unit revenue growth. Do you want me to go over what we said in the prepared remarks about sort of the April, May and June or just...
Savanthi N. Syth - Raymond James & Associates, Inc.: I guess, Marty, what I'm trying to figure out is, so is it the slowing capacity growth that really helps that moderation?
Martin J. St. George - Executive Vice President-Commercial & Planning: Okay. Great.
Savanthi N. Syth - Raymond James & Associates, Inc.: When do you expect the kind of the LatAm pressures to subside when you can kind of expect the comp pressures to sort of subside I guess?
Martin J. St. George - Executive Vice President-Commercial & Planning: Okay. That's very helpful. Thanks. I'm sorry, I have to clarify, just want to make sure I answer the question correctly. Let me go back to the second quarter and what we saw. The biggest issue for us in the second quarter was really April. We had some major calendar challenges in April. We had Easter moving, a bunch of Easter demand moving into March, we had a bunch of – the New York holiday demands actually moved into May. So April was bit of a perfect storm for us, again given the leisure focus that we talked about a little bit earlier. We did feel great about the sequential improvement we had. With respect to the color we gave for third quarter. Our sequential guidance, high-level guidance is a little bit different than what we're seeing for the rest of the industry. A good chunk of that we think is driven by capacity because of how capacity trends go. Again September for us, again, is a heavy leisure carrier, it's a bit more of a trough month. But with respect to what we're seeing, I mean certainly the capacity adjustments we've done have been helpful. One great example I gave you was Colombia. In the last couple of calls we've talked about the challenges in Colombia. We're really starting to see Colombia turn as we're taking in the benefit of some of the capacity cuts that we've done and we're seeing – again Puerto Rico, still very profitable for us, but down from where it was and we're very optimistic about the benefit of the capacity cuts in Puerto Rico as well. So, I give great kudos to the network team. They're doing a very good job of keeping an eye on the capacity and working with our management team, making sure that we're getting the capacity in the places to maximize returns. So, we really do it month-by-month based on the economic environment that we're in. There is really no special magic to us.
Savanthi N. Syth - Raymond James & Associates, Inc.: So, Marty, so the comps from last year, I know the first half is tough, just given the really good, I think, perfect spring season for you guys last year. You don't have anything odd going on last year versus this year that we should be mindful of?
Martin J. St. George - Executive Vice President-Commercial & Planning: The only comps that really stick out in 2016 are around the summer period. Our ASM growth relative to the other quarters is lower in the third quarter. It does come back a little bit more in the fourth quarter, but not dramatically.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. Great. And then, if I may ask, just a few follow-up questions on the items that you mentioned. One is on the credit card. When do you expect to get to that run rate and then maybe on the two A321 short leases, when do those come out of the fleet?
Martin J. St. George - Executive Vice President-Commercial & Planning: Right.
Mark D. Powers - Chief Financial Officer: At the end of the year on the airplanes.
Martin J. St. George - Executive Vice President-Commercial & Planning: Yeah. Let me answer that question on the credit card first. In working with Barclays, we are very optimistic about what we've seen as far as new account acquisition spend, the metrics were all good. The only challenge we have on updating – doing any update to guidance on the credit card, which is why we are not updating our guidance is that, it is a bit of a slow return based on when customers chose to redeem as far as when we – the timing as far as when we recognize the revenue. So we have no change to the guidance right now from where we originally laid out the – when we realized that. But we're working with Barclays to understand that a lot better. Again, the top-line upfront revenue has been very, very strong. We are very happy of what we're seeing but we can't change that guidance.
Mark D. Powers - Chief Financial Officer: With airplanes, sorry?
Robin Hayes - President, Chief Executive Officer & Director: Yeah. I think Mark, Savi's question was around not when they arrive but how long are they here for.
Mark D. Powers - Chief Financial Officer: Yeah. So, it's a fairly extended lease.
Savanthi N. Syth - Raymond James & Associates, Inc.: Yeah.
Robin Hayes - President, Chief Executive Officer & Director: So, it's an extended lease. These airplanes will help us with Cuba, but also improving our sort of operational reliability and our spare count. And I think the other point that we haven't mentioned today, but the question I expect to get at some point is what if you won't and the ability I think between, I think I'm right, Mark, in saying between 2018 and 2022, 2023 we actually have 30 airplanes that are due to come off lease and so the ability during that cycle to potentially retire some of our older original airplanes. So, we do have a lot of flexibility as well.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay. That's very helpful. Thanks.
Robin Hayes - President, Chief Executive Officer & Director: I just want to mention 2023, the Embraer E-190 start coming off of their original lease as well. So we do have good fleet flexibility going forward.
Savanthi N. Syth - Raymond James & Associates, Inc.: Okay, great. Thanks guys.
Operator: Thank you. Your next question comes from the line of Joseph DeNardi with Stifel. Joseph DeNardi, I apologize from Stifel.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Good morning. So, Robin, you talked about the importance of getting to positive PRASM or being able to sustain positive PRASM. Just wondering in an environment with fairly soft economic growth and I think what a lot of people see as excess industry capacity at least domestically, how do you model unit revenue assumptions for a plan it calls for high single-digit average annual ASM growth going forward? I mean, is there a rule of thumb that you use? It would seem like a high bar for you guys to be able to hit to sustain positive PRASM and grow at 9% a year?
Robin Hayes - President, Chief Executive Officer & Director: I appreciate the question and let me kind of look back and look forward if I may, and my friend Marty here can add if I miss something. But if you actually look back over the last five year – back to 2010, we've actually grown this airline in sort of mid to high, but mainly high single-digits through that entire period and right through the period of 2010 to 2015, we're also able to drive year-on-year positive unit revenue growth. So, I think we have a track record for doing that, and when I then overlay on top of that the really, really incredible positive RASM growth of Mint as we expand the Mint footprint. And as we really cycle into many of the self-help initiatives that we outlined in November 2014, all of which are tracking on or better than we had thought, then I think that gives us a lot of confidence that we can do that. I got to tell you that was a very hotly debated assumption in the house here before we went and ordered these airplanes but could we deliver now? You're always going to get the odd year when something happens. So, I go back to 2009, we were flat ASMs and our unit revenue went down 4%, that was a very tough year, if you recall. This year has I think suffered because of a lot of capacity in the industry and you are always going to take the year like that, but we're really looking sort of a 10-year – 5-year to 10-year cycle, and we believe our track record has demonstrated we can't do it and we actually think we have more tools in our tool box and more levers going forward than we even had in the five years previously.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. I mean, it certainly seems like the competitive capacity environment now is a lot different than it was from 2010 to 2015. But, I guess, my question would be, does the additional aircraft you're taking in fourth quarter, should we think of that as pushing your full-year capacity guide to the high end of the range?
Robin Hayes - President, Chief Executive Officer & Director: You mean, for this year or next year, Joe?
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: For this year.?
Robin Hayes - President, Chief Executive Officer & Director: It's not – it's not going to have any impact on the guidance we've issued for this year, they come very late.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay.
Robin Hayes - President, Chief Executive Officer & Director: And just back – I do want to go back to your first point, again, we've seen a – we've seen a unique fuel environment this year that I think has led to a lot of this capacity increases. My only point is that we feel extremely confident. We have demonstrated time and time again with some of the disruptive things that we've done. I can't tell you how many people told me that Boston would never work, that we can disrupt and we can grow the market. I mean, we are – again, we have a track record of stimulating new demand. And so, I think, we're very confident that as the – even though – my assumption is the competitive environment will come down in a higher fuel environment. As I said, we have some flexibility with lease returns, if we need it, but I think we are very confident of our ability to drive positive unit revenue growth in the long-term at the levels of capacity which really aren't too different to where we've been over the last five years.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. Thanks, Robin.
Robin Hayes - President, Chief Executive Officer & Director: Thank you.
Operator: Thank you. Your next question comes from the line of Julie Yates with Credit Suisse.
J. Yates - Credit Suisse Securities (USA) LLC (Broker): Good morning. Thanks for taking my question. Marty, a couple of questions on fare families. First, how should we think about when dynamic pricing starts to drive better contribution or better potential contribution based on your experience with, dynamic pricing on Even More? And then second, how has fare families impacted yields? It looks like there was a fair amount of deterioration quarter-on-quarter and I was just curious now that you have kind of a year of fare families, what's the relationship between fare families and – it has had on yields?
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Julie. Thanks for the question. With respect to fare families, listen, we are very happy with how fare families has gone where the customer reaction has been good. Operationally, it's worked very well. I'm not in a position to update the guidance that we gave originally for the fare families benefit and the biggest reason is that we had already sort of assumed that we would transition into dynamic pricing. This is all part of the original plan. We're not making up as we go along. We had a very clear progression of what we wanted to follow. We're very happy with how it's worked out and looking forward to expanding it that much more. With respect to the impact on yields, to a certain extent, I'm not sure I see the relationship. I mean, I think that what we're seeing with respect to the overall yield environment is much more an industry macro environment than specifically tied to fare families. So, I don't think any of us looks at our fare family results and think that this is a very specific reaction. I think if you're looking at specifically our second quarter results, one of the things we really saw in the second quarter was some calendar impact and I think it's – if you look at how we've given some color with respect to sort of sequential second quarter results and the glimpse we've given to the third quarter, I think that shows that some of the yield impact you described was much more of an outlier than a specific feature of the existing strength of the network as it exists. And I think we're very happy with the overall results in fare families and wouldn't change a thing.
J. Yates - Credit Suisse Securities (USA) LLC (Broker): Got it. Understood. And then just one on Mint, are the new routes that you are deploying Mint on underperforming your peer RASM with a similar dynamic to how you were on the transcon before you were deploying that?
Martin J. St. George - Executive Vice President-Commercial & Planning: Thanks. Great question, and a question I love. I mean, I want to go back to the comment that Robin made earlier, with respect to Boston-San Fran. This is the route that when people looked at it were very skeptical whether it would work. We're extremely happy with the yield progression we're seeing and the results we're seeing in the Mint service. With respect to the other routes that we're flying, I would actually go back and talk about the bigger story about the introduction of Mint. We saw Mint as being something that would be very disruptive to the overall revenue strategy for long-haul premium services. I think I could talk about this forever and I won't because we've got a lot of other people to talk to, but we have a market where the customers are looking at the premium services and they feel like they have been devalued. I think what we're proving is that as we put in a high-quality product at a fair price we will absolutely stimulate demand. So, we do see the opportunity for RASM improvement on every single route that we've added.
J. Yates - Credit Suisse Securities (USA) LLC (Broker): Okay. Great. Thanks so much.
Operator: Thank you. Your next question comes from the line of Duane Pfennigwerth with Evercore ISI.
Duane Pfennigwerth - Evercore ISI: Thanks. Can you repeat what you said on the third quarter revenue outlook? And a bit about significant sequential improvement from the July run rate?
Mark D. Powers - Chief Financial Officer: Yes. I would be delighted to. Thank you. I'll just be very brief. Turning to revenue outlook, July RASM is expected to decrease 2.5% to 3% year-over-year. This would be the third consecutive month of sequential RASM improvement after May and June. July performance is positively impacted by decelerating capacity growth by JetBlue and easing comps. And I think this is the key sense. Beyond July, we expect meaningful sequential unit revenue improvement between the second and third quarters.
Duane Pfennigwerth - Evercore ISI: Okay. So, I mean, is that to mean that you feel like August will be firmer than July and September will be firmer than August? And any color you can give about the split between PRASM and RASM within that would be helpful?
Martin J. St. George - Executive Vice President-Commercial & Planning: All right. Yeah, Hi, Duane, thanks. And I would not agree with your comment about July versus September other than what we said in the script. We said July would be the best month, September would be the worst and August would be in between. And I appreciate that in the last call, we gave a little bit more guidance. I think it was more that people were little bit – I don't think people sort of understood what we saw out there. We felt like we should be a little more open than we have historically. I think, as you can appreciate, we are still a relatively late booking airline. So, it's really tough for us to give accurate guidance for these periods, three months and four months out, because we just don't have enough on the books to be really clear about it. And the worst thing for us to do would be to do anything misleading. With respect to what we're seeing, now the sequential improvements that what Mark talked about was specifically around the quarter, not about individual months.
Duane Pfennigwerth - Evercore ISI: Okay. And then just to run this by you, I mean, if we look back at how this year has played out, capacity grew at a mid-teens clip in the first quarter, and maybe you disagree with this statement but revenue trends were pretty sloppy and it seemed like tough to predict. Now, we're into a period where your capacity growth rate is more mid-single digits, and it feels like it's firmer and you're going to be hopeful better forecasters of the revenue. So, number one, do you agree with that trend? And if so, how do we convert that thinking into this incremental order and a high-single digit growth rate, given what we learned this year?
Robin Hayes - President, Chief Executive Officer & Director: Hi, Duane. It's Robin. Thanks for the question. Also, again, you always find a different way to try and get us to guide the quarter. So, congratulations again. I think, look, we came on to the first half year with a very strong 2015. And so, we definitely had a elevated strong base. As we explained, I think on previous earnings call, the capacity was frontloaded into 2016 versus this year. So, obviously that created some unit revenue pressure. I don't think we had anymore challenge forecasting it than anybody else did. I mean, I think that we were – certainly saw some of the challenges to some of the later booking traffic. We had exposure obviously to markets like Puerto Rico and Colombia where we saw softness. So, I wouldn't entirely agree with your characterization. I think in terms of how does that square with elevated capacity, I go back to the answer I gave earlier, if you look back historically over a five-year to six-year period, we have constantly been able to drive high single-digit ASM increases and unit revenue increases. We feel even more confident about our ability to do that going forward because of some of the JetBlue specific initiatives like Mint, like the credit card, like the cabin restyling that we have announced and are executing to. And even with quarter one and quarter two and all the challenges we were able to expand margins as well. And when we look at the – when we look at 2016 versus 2015, we feel confident based on what we see here that we will have a margin expansion year-on-year.
Duane Pfennigwerth - Evercore ISI: Okay. Thanks for the time.
Robin Hayes - President, Chief Executive Officer & Director: Thank you.
Operator: Your last question comes from the line of Dan McKenzie with Buckingham Research.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Hey. Thanks for squeezing me in guys. Legacy airlines are talking about rolling out an unbundled product in the back half of the year to offer Spirit type fares. And given the fare family approach, I wonder if you can talk about what this might or might not mean to JetBlue. Is the industries move to unbundle a potential revenue pressure that might be incremental or do you just sort of view it as not particularly material?
Martin J. St. George - Executive Vice President-Commercial & Planning: Hi, Dan, it's Marty. Thanks for the question. Yeah, we certainly watch the industry trends with a lot of interest. But it's funny, I mean, I want to get back to what JetBlue was founded on and what we want to offer as a value proposition. Our goal is to offer the best product of any airline in North America at a very, very competitive price. And I think we've accomplished that over the last 16 years and I think we're all very proud of that. And I can certainly speak for myself, my first reaction to unbundle products and stripping the product down to take out all these individual elements is that we've competed with a product like that for many years as Spirit and we've competed with it very successfully, but not by matching it. I mean, we still want to make sure that when a customer walks on a JetBlue airplane, no matter where they sit in the airplane, they'll have the best experience of any airline. So, a strategy that sort of dumps that down and impacts that value proposition on the surface is not very attractive to us. But again, our job is to be responsive to customers. If it turns out that that's really what customers want I would never say that we're going to fight against the customer tide but it's not what we see right now. And again, I think with the experience that we've had competing with some of the ULCCs with those ultra unbundled products, we're very happy with how we compete with them now.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. Very good. And then, Rob, and if I could come back to the international strategy just for a second here, and just moving beyond the regulatory complexity, it seemed to me at least there is two big hurdles to get investors comfortable with international strategy. And that's sufficient critical mass domestically in a plane that can capture sufficient revenue when pricing gets rough, as it always does. And so, I'm just wondering if you can just share a little bit more along those lines just with respect to how you're thinking about the core business and its ability to support that evolution?
Robin Hayes - President, Chief Executive Officer & Director: Sure. I think they are really good points, Dan, ones that we will have to get comfortable with before we – if and when we make any announcement, I mean, that's I think – again back to the thing I'd say to Hunter really which is closing it today just because of the option in the purchase agreement I know I think it's prudent to create that optionality for ourselves if we choose to take it. When we think about Europe and the potential opportunity, first of all, I would talk to the issue of relevance. I mean, when we first started talking to our corporate customers in markets like Boston and New York a few years ago, it was building out the domestic network. And, we're still very focused on doing that and that remains the priority. There are still some markets, LaGuardia is a good example. While – although we had Boston flights to JFK for many years, we didn't have them to LaGuardia, that's about to change. So there is definitely a point of relevance to corporate customers that they want you to be able to serve other large business markets around the world and obviously some European cities that you would include in that. And I think the second thing I think both Marty and I touched on this that when you look at why Mint was successful, it was a very high fare, premium high fare environment. And when you look at the opportunity across the Atlantic, it suffers from the same thing, extremely high premium fare. Yet the products are better but the fares are very high and, I mean really high, much higher than they even were on the transcon. And so, our ability to disrupt that with an innovative product like Mint or whatever comes next in our evolution of our Mint products at a much lower fare, we think again will have an impact of significantly stimulating demand. And the A321-LR is a very lower risk way for us to enter that market. It's an airplane with a very good CASM footprint and you wouldn't need to drive too much demand, basically you've got full premium cabin. So, let's say, that's the opportunity, but as I said, we don't need to make a decision until the end of 2017 and we will balance that with other priorities at the time.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Thanks for the timing, guys.
Driss Belmadani - Manager-Investor Relations, JetBlue Airways Corp.: That concludes your second quarter 2016 conference call. Thanks for joining us and have a great day.
Operator: Again, that concludes today's conference. Thank you all for your participation.